Operator: Greetings, and welcome to the QIWI plc First Quarter 2015 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Yakov Barinskiy, Head of M&A and Investor Relations for QIWI. Thank you, sir. Please go ahead 
Yakov Barinskiy: Thank you, operator, and good morning, everyone. Welcome to the QIWI First Quarter 2015 Earnings Call. I am Yakov Barinskiy, Head of M&A and Investor Relations. And with me today are Sergey Solonin, our Chief Executive Officer; and Alexander Karavaev, our Chief Financial Officer. 
 A replay of this call will be available until Thursday, May 21, 2015. Access information for the replay is listed in today's earnings press release, which is available on our Investor Relations website at investor.qiwi.com. For those listening to the replay, this call was held and recorded on May 14, 2015. 
 Before we begin, I would like to remind everyone that this call may contain forward-looking statements as they are defined under the Private Securities Litigation Reform Act of 1995. These forward-looking statements about our expectations for future performance are subject to known and unknown risks and uncertainties. QIWI cautions that these statements are not guarantees of future performance. All forward-looking statements made today reflect our current expectations only, and we undertake no obligation to update any statement to reflect the events that occur after this call.  Please refer to the company's most recent annual report on Form 20-F filed with the Securities and Exchange Commission for factors that could cause our actual results to differ materially from any forward-looking statements. 
 During today's call, management will provide certain information that will constitute non-IFRS financial measures, such as adjusted net revenue, adjusted EBITDA, adjusted net profit and adjusted net profit per share. Reconciliations to IFRS measures and certain additional information are also included in today's earnings press release. 
 And with that, we'll begin by turning the call over to Sergey Solonin, our Chief Executive Officer. 
Sergey Solonin: Thank you, Yakov, and good morning, everyone. Thanks for joining us today. I am very happy with the start of the year. In the first quarter 2015, we delivered solid results, in spite of the macroeconomic environment. We continued to strengthen our market positions, establish new strategic partnerships and launch new projects -- products. 
 Our total payment volume increased by 6% to reach RUB 158 billion, while payment volume in E-commerce and Money Remittance market verticals grew even faster by 19% and 44%, to reach RUB 21 billion and RUB 19 billion, respectively. Our results demonstrate the resilience of the business model to the macroeconomic slowdown in Russia, and we continue to see more opportunities to gain market share in the existing markets by executing new partnerships and introducing new products and services to fuel growth in the future.
 As of March 31, we had 10.3 million [ph] Visa QIWI Wallet accounts and more than 177,000 kiosks and terminals.
 Turning to the numbers. In the first quarter, total adjusted net revenue increased 34% to RUB 2.5 billion. Payment adjusted net revenue was 35%, driven by strong payment volume and net revenue growth in our E-commerce and Money Remittances verticals. 
 In Financial Services vertical, we continued to suffer from the difficulties in Russian banking sector, which resulted into a significant decrease in payment volumes. 
 Telecom demonstrated volume growth, primarily resulting from the increasing coverage of physical distribution network. 
 Adjusted EBITDA grew 50% in the quarter, primarily driven by net revenue growth, as well as affected by significant bad debt recovery and certain other factors that Alexander will tell you more about shortly. Adjusted net profit grew by 42%, largely affected by the same factors as adjusted EBITDA. 
 I would like to turn into the acquisition of Contact and Rapida. I am pleased to announce that we signed a deal. In this difficult and unsteady [ph] environment, it took us a lot of time and effort to negotiate the appropriate terms, and I am very happy that we managed to reach the agreement. Money Remittance is one of the key verticals for QIWI, and with this deal happening, and it's even more opportunities to grow market share and leverage the ecosystem that we have built to-date. 
 Not only we are becoming significant player in the money remittance market, but also becoming a strategic partner in one of the largest Russian financial institutions, Otkritie Group. We view this partnership as mutually beneficial and expect it to contribute and to strengthen our positions in Financial Services vertical by launching those [ph] products and services demanded by the customer. 
 We see a lot of synergies between our core business and Contact money remittances business, especially given the strength and extent of our network. We believe that we have increased the composition of our core competencies and acquired businesses to achieve long-term growth and sustainability. 
 With this, I will turn the call over to Alexander, who will take you through our financial results in more detail. Alexander? 
Alexander Karavaev: Thank you, Sergey, and good morning, everyone. As Sergey just mentioned, we delivered strong financial and operating performance in the first quarter 2015. 
 Total adjusted net revenue increased by 34% to reach RUB 2.5 billion, up from RUB 1.9 billion in the first quarter of 2014. Payment adjusted net revenue increased 35% to RUB 1.8 billion, up from RUB 1.4 billion in the prior year, as a result of the strong revenue growth in our E-commerce and Money Remittances verticals, which grew 93% and 74%, respectively. Revenue performance was driven by solid payment volume growth in E-commerce and Money Remittances verticals. 
 Our Financial Services vertical continued to suffer from the situation in the Russian banking sector, which resulted in significant volume decrease as compared to the first quarter 2014. 
 Net revenue yield across 3 key verticals continued to grow, partially because of currency conversion revenue growth due to high ruble volatility, and partially due to a decrease in agent fee for Visa QIWI Wallet top up, which took place midyear 2013. 
 Telecom vertical strength remains mostly unchanged, with a slight increase in volumes and decrease in yield driven by general yield compression in that market. 
 Average payment net revenue yield was 1.16%, up 25 basis points from the prior year. And our total average net revenue yield was 1.59%, up 33 basis points from the prior year.
 Other adjusted net revenue increased 31% to RUB 675 million, up from RUB 550 million in the prior year, mainly driven by growth in the interest income and fee revenue stream coming from sale of kiosks. 
 Moving to expenses. Adjusted EBITDA increased 50% to RUB 1.6 billion, up from RUB 1.1 billion in the prior year. Adjusted EBITDA margin was 64%, compared with 57% in the prior year. Adjusted EBITDA margin expansion primarily resulted from ongoing operating leverage and significant amount of bad debt recovery. 
 Adjusted net profit increased 42% to RUB 1.1 billion, up from RUB 785 million in the prior year. Adjusted net profit was largely affected by the same factors as adjusted EBITDA, partially offset by increase in depreciation and amortization expense due to our investment in security and IT infrastructure. 
 Finally, as you saw in our earnings release, following the determination of first quarter 2015 financial results, our Board of Directors recommended a dividend of RUB 0.25 per share. We remain committed to distribute all excess cash to our shareholders in the form of dividend.
 Now onto our guidance. We reiterate our guidance on a stand-alone basis, excluding acquisitions for 2015, both adjusted net revenue and adjusted net profit to increase by 12% to 16% over 2014. As already noted on the previous earnings call, our Financial Services vertical is most affected by the slowdown, and you might see further impact on it through the year. 
 While our first quarter results are strong, however, with certain other factors being beyond our control, we reserve the right to revise guidance in the course of the year. We would like to stress that our 2015 guidance does not imply any substantial scale hit [ph] in the bottom line as a result of ongoing investments in our key verticals, which include acquisition of consumers, marketing and promotional campaign and launch of new products. We feel it is crucial to strengthen our market position this year in order to be prepared for driving future growth, once the consumer confidence is back. 
 Now to some details on the acquisition. The transaction is to be settled by 5,593,000 of QIWI Class B shares. We are expecting other potential transactions, and hence, we feel that this deal structure is the most appropriate in the current economic environment. Even when the transaction is approved by regulator, we expect the target to add between 15% and 20% in annualized terms to both QIWI's adjusted net revenue and adjusted net profit in 2015. 
 With that, operator, please open up the call for questions. 
Operator: [Operator Instructions] Our first question comes from the line of George Mihalos with Crédit Suisse. 
Georgios Mihalos: I wanted to start off on the acquisition front. Alexander, just want to make sure, I think you talked about the 15% to 20% contribution from the acquisitions on both the revenue and net profit standpoint. Is that using 2014 revenue as a base? So should I be thinking that, that 15% to 20% is adding, call it, RUB 1.3 billion to RUB 1.8 billion? And then maybe can you talk about the growth rates for Contact and Rapida? 
Alexander Karavaev: Yes, okay. George, thank you for your question. First of all, when I'm talking about contribution of 15% to 20%, that would mean that if you take on -- if Rapida and Contact would have been consolidated since the beginning of the year, then the portion in the total net revenue and total net income of the joint company, including the core business of QIWI, would be in that range. So in terms of the numbers, that is slightly lower than you said, basically. So you may sure take the consensus and multiply by that number. On the growth rates, again, we are not yet in a position, until we close the transaction, to present more detailed financial data. But all in all, the growth rates of Contact and Rapida are similar to those that we have for QIWI. 
Georgios Mihalos: Okay, great. I appreciate that color. And maybe 2 more questions again tied to the acquisitions. Just why pay for it entirely with stock?  What kind of went into the thinking of not using any sort of cash on hand? And then do you think the relationship now with Otkritie could impair any of your other relationships with other banks in the financial sector? 
Sergey Solonin: George, this is Sergey. Thank you for your question. Now we generally did not have an option to use cash in this deal that much. So we are bringing Otkritie as our partner for the future, and we are glad that we have some money on the table so that we have -- we can review some other options that we are still thinking on. So from the point of view of banking segment, Otkritie will not have an A-class shares, so their impact on our operations is relatively low. Although we agreed that we will do some joint contracts and we will do some products together with Otkritie, and these products will be also open for all other banks. So I think we will treat all the banking system, in some sense, equally. 
Georgios Mihalos: Okay, great. And just last question from me, guys. Just going through the month of April, you had very, very -- you had stronger than expected, at least by our standards, first quarter results. Have you seen any meaningful deterioration in the Russian economy? And I appreciate the pressure on the financial segment, but is there anything, a month out now from the first quarter, that sort of stands out to you that you think could have an outsized impact on your business? 
Sergey Solonin: Well, we had real worries in the very beginning of the year on the macro numbers, but right now we can confirm that these macro changes that are happening has very low impact on QIWI, except the financial segment, as you've said. So we are looking at the financial segment still not that optimistically and looking forward to make more direct evaluations in the next quarter. 
Operator: Our next question comes from the line of Bob Napoli with William Blair. 
Robert Napoli: The question is on the E-commerce segment, very good growth and a good take rate, the revenue yield is up. I mean, is that revenue yield -- first of all, I'd like to understand a little bit more about the mix in growth between virtual goods and physical goods, and if that, the take rate or yield that we saw this quarter, is something that you would view as sustainable? 
Alexander Karavaev: Bob, thank you for your question. So on the E-commerce in terms of the growth, generally, to certain extent, we can consider E-commerce segment as anti-cyclical. That effectively means, when there is economic slowdown, that people would tend to actually use more online shopping, both of -- for virtual goods and physical goods, and this is actually what we have modeled in Q1, and likely the trend is going to continue throughout the year. On the net revenue, in terms of the competition, so the disperse [ph] of physical goods online in our portfolio continuing to gain share, especially due to our partnership -- relationship with Alibaba. On the net revenue yield, that was in Q1, a little bit distorted by abnormal, let's say, foreign currency conversion revenues, because we were trying to hedge our -- the devaluation of ruble. That's why the corridors for the ForEx trade between the ruble and other currencies was set unusually high. So from that point of view, we would not be really expecting such strong net revenue yields to continue throughout the year. They will more likely come back to something that you've noted in Q2 and Q3 of last year, although it really depends on the macro environment. 
Robert Napoli: Okay, that's helpful. Then the question on -- the cash on your balance sheet, do you have -- using dollars, about, at the end of quarter exchange rate, about $200 million of cash. How much of that is free cash? How much cash do you feel like you need to have on hand from an operating perspective, for regulatory perspectives with the banks, or -- how much? So just wondering if maybe some thoughts on that capital level. 
Alexander Karavaev: Look, we actually -- if it's to report [ph] that float, actually, not our cash, but client cash, then we would probably keep approximately the amount of cash that's generated in FPO, so around 90 or probably slightly higher, million of U.S. dollars, which assure our cash. From an operational point of view, I would not really expect that. I mean, we are, let's say, a cash-positive company, so we would not really require any cash cushion from that point of view, unless something bad happens on the market. And obviously, in this environment, there is not much trust on the market, so we would like to have a certain cushion. But this is obviously not as high as that amount of cash we have on hand, and that cash that we have on hand is generally reserved for any other potential M&A that we may have. 
Robert Napoli: Okay, last question. Just any -- can you give anymore color on Contact and Rapida as far as the strategically, how they fit with your business, what did they -- I mean, locations and geographic corridors that they're in, something like that? 
Sergey Solonin: Well, Bob, thanks again for your question. As for Contact, we see that Contact is mostly working in CIS environment, so more or less it's the same as QIWI. Half of the turnover in Contact is domestic, as most of the money transmitters. As for Rapida, they serve a little different product line than QIWI. So it's not really the same. They do mostly processing services for banks. So it will give us an opportunity to be stronger on the financial segment side. Also, Rapida has really a big volume and a good potential for yields and revenue to grow. So we believe that this partnership is -- this merger will be very efficient for QIWI. 
Operator: Our next question comes from the line of David Ferguson with Renaissance Capital. 
David Ferguson: A couple of questions on the acquisition, please. You said that, historically, growth rates were similar to QIWI's Money Remittance business. Historically, where have the yields on these businesses been? That's the first question. Second question would be, assuming the combination goes ahead, what do you think your market share will be? Third question, what are the sort of hurdles to get over for regulatory approval? And then finally, is there any lock-up on Otkritie's shares? That's it. 
Sergey Solonin: Thank you, Dave, for the question. Alexander, can you take that? 
Alexander Karavaev: On the market segment, I mean, look, for, so as of now, we assume the Contact market share in money remittances market should be somewhere between 15% and 25%, and this is basically what we are getting. Although strategically, given the strength of our network, we really believe that we, together using the QIWI capacity and the QIWI core competencies to substantially increase the market share, we are not even in a position to guide on what that can be. But we really believe the combination of Contact's standard-side and recipient-side capabilities and the network of QIWI, we can be one of the key players in that market. On regulatory approvals, it's kind of a usual procedure, we have to get the anti-monopoly antitrust approval and Central Bank approval. It looks like -- we don't expect any problems, so it should take a few weeks from now. And -- but Dave, I'm not sure I understood exactly the question on Otkritie shares. You mean their intention respect of our shares or something else? 
David Ferguson: Yes, I guess, the shares that they receive, are they free to sell them at any point? 
Alexander Karavaev: Yes, they are actually free to sell them. It's subject to all the U.S. rules like, I mean, filing of -- I mean, FT [ph] and certain other things, but our general understanding is, while we may not comment on the intentions of Otkritie, but we understand that they would like to be strategic partner of QIWI. They believe in growth in our business and they likely going to be holding the shares, at least the major part of the shares, for a while. That's our understanding. 
David Ferguson: Okay, great. Just, I'm not sure if I missed it, but on the yields of the Contact business last year? 
Alexander Karavaev: Okay. Yes, look, so unfortunately, we can't really say that as of now. We'll likely present more robust financial data, both on pro forma basis and stand-alone, after the close -- within some time after the closing, but we may not comment that as of now. 
Operator: Our next question comes from the line of Anna Lepetukhina with Sberbank. 
Anna Lepetukhina: I have a follow-up question on the financials of Contact and Rapida. I'm just trying to understand, you assume that these 2 payment systems will have 15% to 20%, both to net revenues and net income. So to me, it implies that kind of margins of Contact and Rapida are similar to that of QIWI. So I'm just trying to understand this estimate. Do they include some potential synergies? Or it is just a pure consolidation of these businesses, and kind of going forward, there can be some kind of additional synergies from this acquisition? And my second question is a small one. I just wanted to understand the nature of bad debt recovery, and what should we expect going forward for this expense item? 
Alexander Karavaev: Thank you for your questions. On the -- we unfortunately cannot comment on the margins of Rapida and Contact yet. Now in terms of the potential synergies, the very approximate guidance that we provided in our press release relates actually to the case where we will not be having any synergies, and this is our plan. So we will obviously be integrating these businesses for a while. So especially in 2015, we likely will not be getting any substantial synergies. Starting from 2016 though, we may have those, and we will have a -- will discuss them with you. So they general will be, the potential financial effect of synergies will be on top of what we have guided for. On the bad debt recovery, yes, so the core of that bad debt recovery was basically due to the, to our bad debt process and management estimations. We were conservative in assessing and estimating the bad debt as of the end of the year, because the macro situation was very unclear. And we saw certain of our agents and merchants were not actually feeling well. So in Q1, we see that situation a bit more positive. And all our large partners, they are now basically in compliance with all the policies and procedures and all the rules of QIWI, and that effectively means that we reserve those conservative estimates of bad debt in Q1. Going forward, we really expect to be, let's say, back to normal, which would mean that we historically were having a kind of a bad debt expense, and we try to control that in a way that it should not exceed a certain percentage of total volumes. So we'll keep that under control by having all the policies and procedures to prevent substantial bad debt expense, and that is something that we believe going to be happening throughout the year. So we do not really expect any substantial deviations in terms of bad debt amount as compared to last year. 
Anna Lepetukhina: And can I just have a follow-up question on personnel expenses? I'm just -- it's impossible to see, but just trying to understand kind of what was the increase in personnel expenses, if possible. And also, maybe you can talk about marketing expenses, whether you are kind of stick to your previous guidance that you will increase marketing spending and whether you did it in the first quarter? 
Alexander Karavaev: And we actually -- our intention is not to increase the marketing expenses this year. Our intention is to actually keep that more or less stable as compared to last year. So we really believe that we have to continue to invest in the market and the market share, and we actually implement and executed on that portion in Q1. So we'll probably, I think we'll be a bit underspend, but not that substantial amount. On the personnel expenses, again, we cannot really comment in detail, but generally, the growth in the personnel cost was outpaced by the growth in revenues. So we, as always, have a scale effect in that specific line item. 
Operator: Our next question comes from the line of Vladimir Bespalov with VTB Capital. 
Vladimir Bespalov: I actually want to ask you a question about your previous partnership with MegaFon and how this one is developing? Is there any positive trends, positive contribution to QIWI performance and from that partnership? The second question is, in the previous quarters, you benefited quite a lot from FX volatility and high spreads. How this affects your financials now, and what do you see going forward in this respect? 
Sergey Solonin: Thank you for your question. Well, in terms of the volatility and the problems that we -- the problems that the market had, it has very little effect on what we kind of see in our financials. And what was your first question? Sorry, I was... 
Vladimir Bespalov: First question was on your partnership with MegaFon and how this is developing and how you are benefiting from that? 
Sergey Solonin: Yes, on the MegaFon partnership, well, we're not expecting that this partnership will show something new in our financials, so we are committed to our guidances and we think that it will not change dramatically our financial. We are still in the period of technological integration. So we actually issued the product and now we are testing the product on MegaFon customers. But we are still not in MegaFon shops and outlets. So we are working on that, and we should be there in the second half of the year. 
Operator: Our next question comes from the line of Igor Gerasimov with Goldman Sachs. 
Igor Gerasimov: I have a few questions. My first one relates to the growth in your other payments revenue. Could you please elaborate a little bit on that? Where the grow more -- the growth stems from, and how should we think about this revenue line going forward? And I have follow-up questions after this one. 
Alexander Karavaev: So generally, what's included in other payments, it's really the all kinds of payments, so especially multi-level -- multi-layer marketing, governmental payment for kinds of taxes, speeding tickets and utilities. So the growth primarily comes from, basically, more or less all the categories in there, but generally speaking, from MLM in the first place. Going forward, again, it's one, that category consists of many different options. It's a bit difficult to estimate, as each of those categories have their own kind of patterns. And we are not really guiding specifically for each segment. What we might say is that as soon as any category in that -- in other section will become too large, then we may choose to present it separately, but this is not yet the case. 
Igor Gerasimov: Okay, understood. My second question is on your deals in money remittances sector going forward. Because in the first quarter of 2015, you posted a quite noticeable increase in the money rem yield. I wanted to understand whether it is attributable to FX commissions and how merger with Rapida and Contact will affect money rem yields forward? 
Alexander Karavaev: On the net revenue yield, yes, to a certain extent it was obviously affected by the ForEx rate, because the -- let's say at least the 1/2 of the -- not at least, around 1/2 of the money remittance would be from Russian rubles to other currencies. Going forward and given the acquisition of Contact, again, let's say, in the longer term, we would expect at least the stabilization of that market, so we would not really expect the commissions to go down. Now they likely will go up, but again, when that will happen, and it really depends on what going to be happening on the market. We will not be actually guiding on that specific kind of parameter until we really have a joint plan of action with Contact and Rapida. 
Igor Gerasimov: My last question is on your OpEx guidance and on your marketing expense. You said that you plan to spend at least the same amounts of money on marketing this year. Just maybe you could give us some color on when it is reasonable to expect marketing expense to gear up? So what should be the seasonality behind this expense? 
Alexander Karavaev: Yes, and really, the marketing expense should be spread more or less evenly throughout the year, except for Q1, which is usually not that active from the standpoint of marketing activity. And in terms of the overall on the spend, you are exactly right. So we spent about RUB 0.5 billion of marketing expense last year, and you can see that in our 20-F filing, and this is more or less our estimation for this year. 
Igor Gerasimov: Just a follow-up on that. Do you have a guidance on OpEx for 2015? 
Alexander Karavaev: No, we do not guide separately for OpEx. We are just guiding for net revenue and net profits. 
Operator: [Operator Instructions] Our next question comes from the line of Elena Tsareva with Sberbank. 
Elena Tsareva: The question just was to specify on your dividend payment. So I remember you guided that once you returned to dividend payment, you will pay for fourth quarter as well. So just to clarify, does this payment include fourth quarter? And if not, is it going to be paid somehow? 
Alexander Karavaev: Yes, that amount is not including the Q4 cash cushion, so we still would like to keep it in the company and we actually have some usage for that to actually cover our potential if something happens in the market. But again, generally speaking, assuming this year that there is no longer a probability of a banking crisis in the market, we will likely pay the Q4 cash cushion as well. 
Elena Tsareva: And going forward, this, like commitment, this intention to pay dividend, I mean, next quarter, is it still there, or it also will depends on, like, the situation in the market? 
Alexander Karavaev: It will depend. I mean, what we are actually doing, so we are defining the -- our cash needs and free cash flow each quarter. We discuss it with the Board of Directors. After we determine Q1 results and look through all the cash balances, we have really felt like we do not see kind of a need to keep that cash in the company. That's why we decided to pay that to the shareholders. If something goes actually as predicted, then we likely will be back on track and we will be a company that pays dividends quarterly. Though it's certain aspects of what's going to be happening on the market, it is beyond our control. 
Operator: Our next question is a follow-up from Svetlana Sukhanova from UBS. 
Svetlana Sukhanova: If I may, 2 questions. First would be on number of e-wallets. I noticed that e-wallets increased only by 0.1 million year-on-year to 17.3 million, which looks like quite a modest increase quarter-on-quarter for this [ph], which compared to the previous periods. Can you please elaborate on this? 
Sergey Solonin: Thank you for your question. There are 2, I think, reasons. So one reason is that we actually do have some decrease usually in activity in the first quarter, a seasonal activity. Second is that we do focus mostly right now on -- not on client acquisition, but on the usage of the wallet and its revenues, average tax revenues from the wallet, cross-sales in the wallet. So first quarter was definitely above that. And also, we understand that with the MegaFon business deal, we have a much bigger reach to the clients, and we will have it in the second half of the year. So we don't want to use our mechanism that we used the previous year. So I think you -- I don't want you to expect a very big growth in numbers as soon as we focus on this very loyal customers, but still you can expect some growth in the second half as soon as there will be a season and also we will open some new things with MegaFon. 
Svetlana Sukhanova: That's very clear. My second question would be on yields for Rapida and Contact. Sergey already mentioned that there is an yield expansion potential for Rapida, but can you elaborate, please, how yields for Contact are compared with the yields for QIWI in money remittance services? 
Alexander Karavaev: I think that we, until after we close the transaction prepare the standalone financial statements, we are not able to comment on that. 
Operator: Our next question comes from the line of Bob Napoli with William Blair. 
Robert Napoli: The Financial Services segment is something, obviously, that you've pointed out as that is going through challenges. I just wondered if you were seeing any signs of stabilization and if you could give any color to the decline. Is it the number of -- are the number of banks? Is it just through, if we -- if the number of consumer loans are down, so payments for consumer loans? How do we gauge? Are you seeing the bottom? And maybe a little bit of color on where you've seen the biggest decline within that business? 
Sergey Solonin: So thank you, Bob, for the question. Well, my personal estimation is that we really are at the bottom level right now. So my expectations would be that the Financial Services segment will grow through the end of the year. So in terms of the factors, I think it is a mix of factors. So we think that banks really dropped down their approval levels. So the approval levels on the consumer loans are down, several times from the levels they were at a year ago. So there is less new loans issued and less consumer loans issued in general. So I think there -- and also, repayments are very low, so I think that we do have some effect of macroeconomic problems. Maybe it can be connected to some people losing jobs or whatever happens, and they are just stopping to pay for their loans. But still, as I said, I think that we were somewhere at the bottom level, so my personal expectation is that to the end of the year, we will -- together with the marketing programs we are planning, we will see some growth in this area. 
Robert Napoli: Okay. And then the kiosks, you've had -- the growth in kiosks, now you accelerated growth, as you talked about a year ago. How many kiosks can you -- are these -- what markets within Russia are you adding kiosks? And what is the optimal level? And is there any technology change in new kiosks that enable more services? 
Sergey Solonin: Well, we are, of course, working on the new kiosks constantly, so we think that kiosks will enable people to have more services than they do have right now. But we don't think that it will be very soon, so we plan that this will take place in '17, '18. But for this year, we think that there is still some extra capacity for kiosks, because we see that the turnover on kiosks is growing. As soon as the turnover on per kiosk is growing, there is always some capacity to put more kiosks closer to people's habitats and I think that we will see quite a good growth this year and modest growth next year. I'm not sure that we are guiding the number of kiosks, though. 
Robert Napoli: Okay. And then last question, just quickly on the tax rate, Alexander, a little bit lower this quarter. Well, full year tax rate, what would you expect for a full year tax rate? 
Alexander Karavaev: So we, actually it's usually due to the effect of tax return filing deadlines in Russia, the tax rate would usually be slightly lower in Q1, generally, than overall for the year. So we, given that the corporate structure and the -- I mean, stays the same this year, we do really expect the effective tax rate not to change substantially as compared to last year, so should be, let's say, around 22%, 23%. 
Operator: Our next question comes from the line of Anna Lepetukhina with Sberbank. 
Anna Lepetukhina: I have one follow-up question about operating expenses. When I look at SG&A expenses excluding bad debt, they increased 38% in third quarter. At the same time, you mentioned that your underspent in marketing and personnel expenses are not growing faster than revenues. So I'm just wondering what was the reason for this increase, if possible? 
Alexander Karavaev: So [indiscernible] of those expenses would relate to, let's say, cost associated with running QIWI as public company. So we are -- for example, we became subject to Sarbanes-Oxley Act starting from actually last year, and so we have spent a substantial amount of time, effort and cash last year to be in full compliance with that law and we continue to build our systems in this year. So these types of expenses were not booked in Q1 of last year, so that -- this probably explains the majority of that increase. 
Operator: At this time, we've come to the end of our time for questions. I'd like to turn the floor back to management for any final concluding remarks. 
Sergey Solonin: Thank you, operator. Well, I just wanted to thank and congratulate my team with the results of first quarter and with the deal that I know was very difficult and we had to spend a lot of time doing that. I'm very pleased and very happy with that deal, and I think that this deal opens a lot of new opportunities for QIWI, makes it more secure, gives an opportunity for identification procedures and looking forward, that QIWI will pursue this opportunity in the future. 
 Thank you all very much for being on this conference call. Bye. 
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.